Operator: Thank you for standing by, and welcome to the iQIYI's Fourth Quarter and Fiscal Year 2024 Earnings Conference Call. All participants are in a listen-only mode. There will be a presentation, followed by a question-and-answer session. [Operator Instructions] I would now like to hand the conference over to Ms. Chang You, IR Director of the company. Please go ahead.
Chang You: Thank you, operator. Hello, everyone, and thank you for joining iQIYI's Fourth Quarter and Fiscal Year 2024 Earnings Conference Call. The company's results were released earlier today and available on the company's Investor Relations website at ir.iqiyi.com. On the call today are Mr. Yu Gong, our Founder, Director and CEO; and Mr. Jun Wang, our CFO; Mr. Xiaohui Wang, our CCO, Chief Content Officer; Mr. Youqiao Duan, Senior Vice President of our Membership Business; and Mr. Xianghua Yang, Senior Vice President of Movies and Overseas Business. Mr. Gong will give a brief overview of the company's business operations and highlights, followed by Jun, who will go through the financials. After the prepared remarks, the management team will participate in the Q&A session. Before we proceed, please note that, the discussion today will contain forward-looking statements made under the safe harbor provisions of the US Private Securities Litigation Reform Act of 1995. Forward-looking statements are subject to risks and uncertainties that may cause actual results to differ materially from our current expectations and potential risk and uncertainties include, but are not limited to, those outlined in our public filings with the SEC. IQIYI does not undertake any obligation to update any forward-looking statements, except as required under applicable law. I will now pass on to Mr. Gong. Please go ahead.
Yu Gong: Hello, everyone, and thank you for joining us today. Starting from late November, we have observed a significant rebound in business performance across multiple metrics, including net additions of subscribing members and user time spent, along with a reinforced leading position in the total drama will shape market share according to enlightened data. This was boosted by the robust comeback of our top-tier content. In just the three months, two of our highly popular drama's, We Are Criminal Police were Qin Chuan and DRIFTING AWAY, Piao Bai surpassed 10,000 in the IT popularity index, and for the solidifying IT's unrival leadership in the suspense genre. We also enhanced our supply of premium female-oriented content, which is also one of our key content categories with Moon [indiscernible] in exceeding 9,500 and last time in winter Dong Zhi Yi exceeding 9,000 in IT popularity index. Alongside, the strong return of our premium long-form video content, we have made breakthrough in the mini drama space. Now our portfolio carries a selection of over 10,000 titles. We have also revamped our products to improve user experiences. On top of that, we have upgraded our ad placement system to more effectively monetize the growing traffic of mini dramas. All these efforts have led to swift growth in our user base, and look forward to what the future holds. In addition to operational improvements, we are encouraged by the healthy recovery in consumer and settlement towards quality for videos as by historical high theatrical movie box office performance during the Chinese New Year. This track reinforced our confidence in the quality of long-form video content and we are optimistic for long-form video industry in the coming year. As we step into 2025, we aim to boost membership revenue by listing the quality and the share of content. We also aim to expand the advertising revenue by enlarging our app inventory, which will benefit from the growth of mini-drama business. Together, these two elements will serve as the growth engine driving our revenue growth. Now let's move on to the details of our core business segments. Starting with long-form videos, which is a cornerstone of our content ecosystem. We have sustained our leadership in the core drama category, capturing the highest total viewership market share in Q4, and for the full year 2024 according to Enlightent Data. This was underpinned the exceptional performance of our highly acclaimed titles across multiple genres. In Q4, our dominance in the – were up rail of suspense genres remain unchallenged. Notably, we are terminal place become the 15th drama to break the iQIYI popularity index score of 10,000 and recorded the highest score of our platform in 2024. Additionally, new releases like [Foreign Language] brand and another [Foreign Language] high acclaim from viewers. Our exciting slate of offering goes beyond Q4, notably building our way from our flagship [Foreign Language] brand surpassed a popularity index score of 10,000 within just six days of its release. It was also the first drama with fewer episodes to reach such highs. In Q4, for premium female-oriented content, we made great progress in stabilizing our content release schedule and captivating audiences with [Foreign Language]. Notable among this is Asian custom drama, Fangs of Fortune [Foreign Language], which successfully attract new members setup. In addition, modern drama, Love Song in Winter was praised for its innovative blend of suspense and romance hitting our peak iQIYI popularity index score of over 9,000. Looking ahead, we are committed to further refining our production line up and release timing for both Asian customer dramas and modern tales [ph] that resounded with our female audiences. Turning to movies. In Q4, we have maintained our leading position in viewership for self-conducted partners according to Enlightened Data. The performance was highlighted by our original production of Frozen Wind, which was the best performing comedy movie on our platform this quarter. There are notable releases like Upstream, [indiscernible] The Battle of Life and Death, [Foreign Language] also secured top positions on the iQIYI Popularity test during Q4. For animations in Q4, our production capabilities for Chinese animations continue to improve The Legend of Sky Log, [indiscernible] remains its popularity among audiences. They also further boosted our offerings with exclusive new IPs such as Urban Miracle [Foreign Language]. For Japanese animations, we exclusively released Dragon Ball Daima, [Foreign Language] on our platform receiving positive feedback. Looking forward to 2025, we are dedicated to enhancing the production and the management of our long form videos. Our primary goal is creating exceptional content, elevating its commercial potential, while optimizing the production and the distribution process for increased efficiency. For drummers, we will focus on improving the pipeline's stability and the share of our top tier premium content. We aim to strengthen our leadership in realistic and suspenseful themes, while enhancing our premium content that appeals to female audiences, which have shown strong momentum. [Indiscernible] titles grew well-rated -- such as drifting away, we are also going to release titles from light on shelter, including Breaking the Shadow, [Foreign Language], Justifiable Defense [Foreign Language], a life for a life [Foreign Language] and Low IQ Crime feature Zhang [Indiscernible]. Our strong line up also features highly anticipated female-oriented dramas Moon, Embracer, [Foreign Language], The [Indiscernible] at Season 2, [Foreign Language], and The Love of the Divine Tree, [Foreign Language] have already been released and have gained strong traction among female audiences, while more compelling releases to come. For very short, our strategy is centered on our visibility. We are committed to maximizing the commercial value of our classic IPs, while exploring innovative new shows. For flagship multi season IPs, our strong lineup includes Become a Farmer, [Foreign Language], The Hawk Season 5, The Rap of China 2025 and The King of Stand-up Comedy 2 [Foreign Language], We are also introducing several fresh new IPs including The Blooming Journey [Foreign Language], in Asia [Foreign Language] and The Greatest Showman [Foreign Language]. Notably, The Blooming Journey was released in January and quickly received a peak IP popularity index score of about 8,000, while topping the enlightened rankings. For the comedy [Foreign Language], building up the success of The King of Stand-up Comedy. Last year, we launched a spin-off show, HAPPY OFF WORK during the Chinese New Year holiday, further strengthening the IP's influence. For movies, premium content is our top focus, especially original theatrical releases that can generate top box office revenue. In 2025, our original movie Winter to Summer [Foreign Language], they are hit the sales charge. Audiences can also enjoy theatrical hits on our move channel, including, [Foreign Language] Burning Stars, [Foreign Language], hot pot artist, [Foreign Language] and The Antarctic Octopus with Broken Arm, [Foreign Language]. We also plan to increase our production capability for online films. In the field of animation, we are ready to broaden our collection of enduring various and devoted resources for C6 collect to a high quality Chinese animation. Our objective is to raise both the quality and financial performance of our original work. Major panels to be launched includes Super Cube [Foreign Language], Over the Divine Realms, [Foreign Language], The Fitted Magical Princess, [Foreign Language] and the sequels to beloved children's animations, including [Foreign Language] and The Princess Doremi Season 4 [Foreign Language]. Moving on to mini drama. We achieved exciting milestones in just three months. Firstly, we have successfully revamped our apps. Now the mini drama in the iQIYI main app focused primarily on subscription based model, while the iQIYI lite app acquire all three drive, the mini driver supported by advertising model. Secondly, we have largely completed the construction of back-end systems, especially for content recommendations and advertising capabilities. This not only elevates the viewing experience, but also unlocks fresh monetization opportunities. Furthermore, our mini-drama portfolio has quickly expanded to over 10,000 titles now, capturing 95% of the leading mini-drama content providers in the market. This expensive and diversified content portfolio has paved for our next stage of development. The recent program has likely increased our user base and the viewer time spent on mini-dramas in the fourth quarter with these positive trends expected to continue. Notably, in December our platform had its first mini-drama generating mostly revenue income exceeded RMB 1 million. As we enter the next phase, we are aiming to refine our products and service offerings with proven line recommendation fine tune our advertising system to appeal a broader base of new advertisers, broaden our content catalog with fresh and library titles and cultivate iQIYI original mini-drama ecosystem to provide a steady stream of high-quality content. Moving on to membership services. Membership revenue in the first quarter was RMB 4.1 billion, down annually and sequentially, primarily due to a lighter content slate during the first two months of the quarter. However, starting from late November, we have observed a strong comeback in creating content offerings as previously discussed, driving a significant turn around in our membership business. To be specific, we have improved our long-form video content and introduced improved mini-drama for members, aiming to improve member retention and attracting new subscribers. Additionally, we have maintained a tighter supply of premium content and stepped up our promotional efforts so subscribers can eagerly anticipate new releases, thereby driving their loyalty to our platform. Beyond content enhancement, we have classified our membership offering into two primary categories. One category tailor for individuals, the other for families. Both categories include and supporting basic service tier as well as vendor service tiers. Moreover, the family category also features our premium service level which is an outstanding plan. This plan grants additional privileges, including unlimited access to express package that provide early access to finals of our premium content, the ability to log in on up to eight supported devices and opportunities to participate in major offline events. This is classification benefits on membership business in multi base. One, it simplifies the structure of our membership plan, making their positioning clear. Two, it captures broader user needs and the user group from value seeking individuals to those desiring more premium perks. Three, it effectively addresses the issue of unauthorized of hardware sharing. In the first quarter, to offer an improved solution to account sharing, we introduced the actual member feature. Additionally, our supported basic plan has seen a consistent uptick in subscription, especially among users in low-tier cities, and within the young demographic throughout the quarter. In a move to further elevate the value we offer, we also use a more joint membership options, which gained traction with our members. Looking into 2025, our strategy focuses on building a membership business that better caters to mass audiences. They also intend to optimize member offerings, streamline operations and improve distribution channels. Moreover, we aim to elevate the iQIYI member brand and associate standards, ultimately boosting the value experience by our members. Moving on to the advertising business. Revenue during the quarter came in at RMB 1.4 billion, growing 7% sequentially and showing a reduced rate of annual decline when compared to the prior period. For brand ad revenue show double-digit sequential growth. This was primarily driven by the double-digit brand ad revenue growth generated by our premium dramas. In 2025, we aim to evolve our brand advertising business by diversifying our revenue streams and exploring new innovative advertising opportunities. We plan to refine client service, which will help retain our current advertisers and attract new comers from sectors like food and beverage, cosmetics and toiletries and communications. We will also keep an eye on emerging factors such as health care, home furnishing and tourism. Additionally, we aim to increase the art of top-tier clients and explore opportunities in many drivers and advertisers customized shows. Performance ad continue to grow both annually and sequentially. This was largely driven by operational improvements on major e-commerce companies and the robust service provided to clients from Internet services sector. Notably, revenue contribution and the e-commerce factoring our shopping festival increased by over 40% annually, and the revenue from the Internet services during the quarter increased by over 30% year-over-year. To sustain this momentum going forward, we are enhancing our technical and platform capabilities to secure a large -- a larger share of budgets from top-tier clients in sectors such as the e-commerce, Internet services and the video game sectors. We will continue leveraging AI for video and the production and expand our client base to improve monetization efficiencies. We are also excited about the incremental ads inventory that mini drama could bring in 2025. Moving on to technology and products. We continue to advance the industrialization of the video business, thereby, improving our operational efficiency. Our intelligent production management system has become essential for production crews managing various tax on-site, providing them with advanced production tools and management capabilities. In the first quarter, we further enhanced the system to incorporate highly efficient production supply management capability. With regard to virtual production, we have increased the technology to push the boundary of content creation. We are from that. Our project, Fangs of Fortune and My Journey to You both won multiple prestige industry awards for their excellent use of virtual production. Meanwhile, we have made impressive progress with our digital asset collection. Throughout the year, we have assembled immense digital asset library from hundreds of dramas, reality shows, movies and animations. It is recognized as one of the leading collections in China. We are now leveraging their assets in new video products and expanding into offline experiences. Looking forward, we are setting our sights on wider applications, including content creation, IP value-added services and immersive virtual reality experiences. Moreover, we have been expanding AI applications across content production and operations. AI's influence has been notably in refining our project assessment process, providing valuable insights for pressing nearly 5,000 screen plays and novels. Additionally, AI [indiscernible] in character design and the custom selection as a project approval stage based on the character description from screenplays that streamlining the creative process. Lastly, for our business performance in regions outside of Mainland China, we maintained solid performance in the fourth quarter with both total revenues and the membership services revenue gained annual and sequentially growth. Notably, membership revenue from Hong Kong, U.K., Thailand, and Australia grew by over 30 year-over-year. The average daily number of subscribing members also increased both annually and sequentially with Hong Kong and Thailand growing over 40% year-over-year -- 50% year-over-year. The popularity of our original content continues to strengthen. Songs of Fortune was the best performing China drama on our overseas platform in 2024 with a high dubbed version topping the viewership rankings in Thailand. Additionally, our first original overseas variety show, Starlight expanded its success beyond our platform, achieving top position in local Google rankings for variety shows across numerous Southeast Asia countries. Furthermore, Thai dramas have emerged as a popular content upgrade on our international platform, ranking second only to see dramas. Encouraged by this trend, we are planning to increase our investments in original Thai productions. We have been focusing on expanding our international brand recognition soon reach specific events. Last quarter, we launched our first ever IQI Conference Overseas, which set a new benchmark as the most comprehensive and best attempt press conference ever hosted by our Chinese video platform in Thailand with exceptional artist participation. As we set our eyes on 2025, our main focus abroad will be to drive revenue expansion. We plan to enhance our free drama offering and improve the monetization ability of region content having established our presence in Asia, especially Southeast Asia. We are set to expand our footprint into Middle East, Latin America, and Brazil. Our approach includes reinforcing health with telecom partners seeking innovative collaborative opportunities and working up marketing initiatives to boost our brand and content impact. In summary, we closed the year by increasing a series of reinvention and innovation that successfully propelled our business, setting a strong start to 2025. We are confident that the strong comeback of premium long-form videos, coupled with our continuous innovation in mini-dramas will serve as fuel engines during goals for 2025. Now let me pass it on to Jun who will go through our financial performance.
Jun Wang : Thank you, Mr. Gong, and hello, everyone. As Mr. Gong mentioned earlier, driven by the premium content, we have experienced a significant rebound in main operating performance in comparison to November 2024. Now let's take a look at Q4 key numbers. In Q4, the total revenues were RMB 6.6 billion, down 14% annually. Membership services revenue reached RMB 4.1 billion, down 15% annually, primarily due to a lighter content slate. However, as Mr. Gong just mentioned, premium content had a strong rebound from late November 2024 to now. For online advertising, revenue decreased by 13% year-over-year to RMB 1.4 billion. This was primarily due to the decrease in brand advertisement business, partially offset by the growth in performance ad business. Content distribution revenue reached RMB 406.6 million, down 20% annually, primarily due to a lower revenue from distribution of theatrical movies invested by iQIYI and a decrease in barter transactions, partially offset by increased revenue from cash transaction. Other revenues decreased by 10% annually to RMB 670.2 million. Moving on to cost and expenses. Content costs was RMB 3.4 billion, down 9% annually, primarily driven by our improvement in the content strategy as well as a lighter content slate in the quarter. Total operating expenses were RMB 1.3 billion, down 5% annually, primarily due to disciplined marketing spending. Turning to profits and cash flows. Non-GAAP operating income was RMB 405.9 million and its corresponding margin was 6%. Net cash provided by operating activities totaled RMB 519 million, positive for 11 consecutive quarters. As of the end of Q4, we had cash, cash equivalents, short-term investments and long-term restricted cash included in the prepayments and other assets around RMB 4.5 billion. For detailed financial data, please refer to our press release on our IR website. Now I will open the floor for Q&A.
Operator: Thank you. [Operator Instructions] Your first question comes from Xueqing Zhang with CICC. Please go ahead.
Xueqing Zhang: [Foreign Language] Thanks management for taking my question. We have noticed that iQIYI had launched many drama series since the beginning of this year. Looking ahead to 2025, what's your content pipeline about the quality of these titles? How many of them have the potential to become blockbusters? Thank you.
Chang Yu: Thank you, Xueqing. We will invite our Chief Content Officer, Mr. Xiaohui Wang to answer this question. Go ahead.
Xiaohui Wang: [Foreign Language] We had a good start of the year for 2025 with the new season of ride on theater drama testing away launched in January, reaching iQIYI popularity index of over 10,000 in just six days. It is a milestone for us, because it is not only the first drama of the year to break the 10,000 in popularity, but it also is iQIYI's ride on theaters, and our first drama with limited number of episodes to achieve this milestone. Our main goal for this year 2025 is to intend both the quality and the share of our premium top long-form video content, also ensuring a greater stability and continued the strong start to the year. In most -- the most critical areas such as the drama genre, the number of premium top-tier dramas claims for release this year were significantly increased compared to last year. We will also focus on creating a tighter narrative pace that better align with the current social sentiment and users embedded changes. And then for suspense and drama and female-oriented content that our two main programming pillars, for this year, we will continue to maintain our absolute leading advantage in the sustained and crime genre and for this year, the Light on Theater has several works planned in addition to the already launched Drifting Away, there will be more releases, such as Breaking the Shadows, Justifiable Defense, A Life for a Life, Low IQ Crime, Dead End and Beneath the Undertow.
Xiaohui Wang: [Foreign Language]
Chang You: In terms of the female-oriented content and market season title, we will further strengthen our offering and continuous programming with launch titles such as The Best Thing, Love in Pavilion, Fox Spirit Matchmaker: Sword and Beloved, A Dream Within a Dream, Build and Strange Tales of Tang Dynasty Season 3.
Xiaohui Wang: [Foreign Language]
Chang You: Additionally, we will continue to maintain our investment in the realm of realistic genre. The pipeline includes What a Wonderful, How Things Born [ph], Eight Thousand Miles of Cloud and Moon, Tao Jin, Lonely Old Town [ph].
Xiaohui Wang: [Foreign Language]
Chang You: Thank you.
Operator: Your next question comes from Lei Zhang with Bank of America Securities. Please go ahead.
Lei Zhang: [Foreign Language] Thanks management for taking my question. I want to know further updates on your short mini drama area? And do we have any strategic plan on mini drama in 2025?
Yu Gong: [Foreign Language]
Chang You: Our CEO is actually taking this question. He, first of all, would like to clear the definition of mini dramas that we've been talking about in his opening remarks. So for mini dramas, we identified them after vertical format, one to three minutes long. And then this is the main area that we're focusing on. For the horizontal mini dramas, which is quite similar to the long form video content that we have the edge on, so this is something different. So we decided to invest in the mini drama business about one quarter ago. The reason there are two aspects. First of all, right now, because the users are more to the fast pace content and they have a shorter attention spend, and then they also enjoy content in a more fragmented time look. So that's the first reason. And also from the industry perspective and a market perspective, for 2024, the market size for mini dramas, although there are different data that estimated by third parties, but we believe it should be greater than the Chinese office for 2024. For 2025, we are ramping some rebound of the office during the Chinese New Year. However, that we still think the mini drama market should still over exceed the Chinese box office in 2025. Our mini drama business actually have successfully completed [indiscernible] that we set for the first phase, achieving significant results in three areas for user product transformation, content portfolio and also building a [indiscernible] system development. Currently, actually, our mini drama content library has over 10,000 titles, and it has reached a – that's comparable to the leading mini drama platforms in the industry. There are two reasons about how we achieved such a significant improvement in a very short amount of time. First of all, for our team, actually, we have a very mature whether it's IT team, a technology team, product team, and also the operational team, all these have over 10 years of experiences. Although, mini drama is a new genre, but there are a lot of the know-how that we can replicate from the long form video experience. That's the first reason. The second reason is we have a very deep connection with the industry and also the industry resources, specifically for content providers for the industry. Most of them, we have existing -- we have actually collaborated with them in the past or we have existing collaborations. So, the above three -- two reasons help us to achieve such progress in short amount of time. For our main IT app, the position is still focusing on the long-term digital content and then focusing on the subscriber based revenue model. For iQIYI Lite, we have quickly revamped this app and then now it is prioritized in three mini dramas and then supported by the advertising model. In terms of the user time spent for the [indiscernible] app, the mini drama timeshare now is actually close to the scale of animation, cartoon, and also [indiscernible]. iQIYI Lite, the mini drama timeshare is the second largest content genre, only second behind long form video content. I'll quickly introduce the next stage, a key [indiscernible]. The first one is we'll focus on introducing the leading mini drama titles and then for ITE. Second is to build the ITE original mini drama ecosystem. For the Chinese New Year period, actually, we have already launched quite a few titles. And next, two tasks are focusing on to hopefully, we can increase the inventory of mini drama advertising and to enhance the monetization capabilities of mini dramas, we would like to actually explore more advertising budget and also the new formats of advertising budget from the app space. Last, but not least, we will try to increase more investment in terms of user growth. Hopefully, we can attract more users to bring them to iQIYI to watch mini dramas.
Yu Gong: Thank you.
Operator: Your next question comes from Lincoln Kong with Goldman Sachs. Please go ahead.
Lincoln Kong: [Foreign Language] So, thank you management for taking my questions. My question is about the membership business. So regarding the recent content performance and how is the impact from those measures like Semi-Card or Star Diamond member extra content gives on those -- the impact on the membership business, as well as the strategy for full year 2025? Thank you.
Chang Yu: Thank you, Lincoln, and I will invite Mr. Youqiao Duan, the Senior Vice President of Membership Business, who will take this question. Go ahead.
Youqiao Duan: [Foreign Language] Since late November 2024, the continuous programming of premium titles dramas have actually driven the membership business to a turning point, resulting in a significant increase in subscribing members. We actually rolled out several key initiatives for 2024. We have reclassified our membership offering into two primary categories, one for individuals and for families. For individuals, there are actually two plans with no large-string access. And for families, there's three plans with large-string access. The membership rights and benefits are divided into three tiers; basic, standard and premium. The new reclassified membership system actually allows users seeking either high cost effectiveness or premium benefits experience to find products that suite their needs. Second, we strengthened the crackdown on password sharing, while introducing the actual account service as an authorized sharing solution, effectively expanding the membership base and improving member retention. The third point that we did was we enhanced the benefits for members. The newly added benefit for S Diamond members, the limited complementary early access to the Express Packages that provide early access to finales of a premium content, increased value and perception of premium membership. After the launch of the new benefits, the number of S Diamond members have largely increased with most of the new members attracted by the Express Package benefits and the existing S Diamond members have also been noticeably more active on the platform. [Foreign Language] We have a few areas that we're focusing on for 2025. First, we'll continuously enhance the stability and continuity of our top care premium content programming and strengthening the prerelease promotion for upcoming content, establish mindshare among users to improve their loyalty to iQIYI. [Foreign Language] Second, we'll build -- focusing on building a mass-market membership service to increase membership sales and revenue, while focusing on attracting new members will prioritize improving member retention and user engagement and also will increase the revenue scale and revenue share from external channels. [Foreign Language] Third, we will systematically continue to optimize the membership product and operations including further refining the membership product system and pricing strategy, also membership benefits and for improving the member user experience and also crafting a membership model tailored for mini-dramas. [Foreign Language] The fourth, we will strengthen the quality of membership services and iQIYI brand, enhance the perception of membership benefits and privileges and also improve the overall net promoter score for iQIYI members. Thank you.
Operator: Your next question comes from Maggie Ye with CLSA. Please go ahead.
Maggie Ye : [Foreign Language] Just now we heard about some encouraging performance in overseas markets in terms of both membership revenue and subscribing members. Could you please provide an update on the core strategy for our overseas business in 2025? Thank you.
Chang You: Thank you, Maggie. We'll invite Mr. Xianghua Yang, the Senior Vice President of our Overseas Business to take those questions. Go ahead.
Xianghua Yang: [Foreign Language]
Chang You: The overall strategy for our business outside of Mainland China in 2025 is to pursue rapid revenue growth while maintaining profitability.
Xianghua Yang: [Foreign Language]
Chang You: In the past few years, we have focused on several markets, including Southeast Asia, Hong Kong, Macau and North America and have achieved satisfactory development. And for 2025, we have set different strategies for different markets.
Xianghua Yang: [Foreign Language]
Chang You: For the markets we entered since the early days, such as Thailand, Malaysia and North America, our goal is to achieve both profit and revenue growth.
Xianghua Yang: [Foreign Language]
Chang You: For the new explored markets such as Indonesia and South Korea, the focus is on revenue growth for 2025.
Xianghua Yang: [Foreign Language]
Chang You: At the same time, we're also plenty and preparing for the long-term growth of our business, I hope to break into new markets in 2025, such as the Middle East, the Spanish-speaking Latin American region and also Brazil.
Xianghua Yang: [Foreign Language]
Chang You: For content wise, we will strengthen the programming dramas in 2025, and the contemplate is actually more suitable for the preferences of overseas viewers in 2025 compared to the content we launched last year.
Xianghua Yang: [Foreign Language]
Chang You: In terms of local drama, local content, after years of efforts, we have actually simulated some experience that we'll continue to invest in markets such as Thailand and Malaysia, which will serve an important support for our user growth in the future.
Xianghua Yang: [Foreign Language]
Chang You: For content promotion, advertising placement and also the collaboration with telecom carriers and other channels, our core methods of at least the content value, so in 2025, we will increase our investment in these areas and in more markets.
Xianghua Yang: [Foreign Language]
Chang You: So overall speaking for 2024 for overseas business, in terms of the membership growth and also revenue also maintained a relatively high-speed growth. And since December 2024, with the ongoing month of high-quality content, the overall growth rate of our business has been even faster than 2024, so which gives us more confidence in the revenue growth for 2025. Thank you.
Operator: That concludes our question-and-answer session. I'll now hand back to management for closing remarks.
Chang You: Thank you, everyone, for participating in the call today. If you have any questions, don't hesitate to contact us. Thank you, and see you next quarter.
Operator: That does conclude our conference for today. Thank you for participating. You may now disconnect.